Operator: Hello, and welcome to the International Money Express Inc. Fourth Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speaker presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today's conference is being recorded. It is now my pleasure to introduce Investor Relations Coordinator, Alex Sadowski.
Alex Sadowski: Good morning, and welcome to the Intermex fourth quarter 2024 earnings call. I would like to remind everyone that today's call includes forward-looking statements, including our 2025 guidance, and actual results may differ materially from expectations. For additional information on International Money Express, which we refer to as Intermex for the company, please see our SEC filings, including the risk factors described therein. All forward-looking statements on this call are based on assumptions and beliefs as of today. You should not rely on our forward-looking statements as predictions of future events. Please refer to Slide 2 of our presentation for a description of certain forward-looking statements. The company undertakes no obligation to update such information, except as required by applicable law. On this conference call, we will discuss certain non-GAAP financial measures. Information required by Regulation G under the Securities and Exchange Act for such non-GAAP financial measures is included in the presentation slide, our earnings press release and our annual report on Form 10-K and quarterly reports on Form 10-Q, including reconciliation of certain non-GAAP financial measures to the appropriate GAAP measures. These can be obtained in the Investor section of our website at intermexonline.com. Presenting on today’s call is our Chairman, Chief Executive Officer and President, Bob Lisy; and Chief Financial Officer, Andras Bende, as well as other members of the senior leadership team. Let me now turn the call over to Bob.
Bob Lisy: Good morning, everyone. Thanks for joining us. This quarter we were reporting solid performance across our business on navigating a challenging and dynamic market environment. We remain focused on executing our strategy and adapting to changing consumer behaviors, ensuring that we continue to drive value for our stakeholders. We posted a total revenue of $164.8 million in Q4, bringing our full year revenue to $658.6 million. Our adjusted EBITDA for the quarter was $30.9 million, resulting in adjusted EBITDA margin of 18.8%. For the full year adjusted EBITDA grew to $121.3 million. We set a fourth quarter record for adjusted diluted EPS of $0.57, up 1.8% year-over-year, while diluted GAAP EPS came in at $0.49. This quarter highlights our continued ability to perform across both retail and digital channels. Digital transactions surged 71.7% year-over-year, while digital revenue was up 48.3%, reaching $5.6 million in Q4 and totaling $20.6 million for the full year. These results demonstrate the success of our omnichannel approach designed to meet the customers wherever, whenever, and however they choose to send money. Our consumer base expanded to 5.7 million, up 1.8% year-over-year, demonstrating strong engagement and loyalty to our platform and a deep trust in our brand. As we move forward, our strategic direction remains clear. We are committed to driving accelerated digital growth while continuing to grow and reap the benefits from our highly profitable retail business. We believe Intermex is uniquely positioned to grow our digital business profitably, while we benefit from the significant cash flow created by our powerful retail model. We estimate that approximately 30% of the remittance to Latin America are sent digitally and we are now competing aggressively for that business. Our efforts and investments in our digital business have created a more profitable unit economics model, and we are leveraging our strong operational foundation to scale efficiently, reducing the digital customer acquisition cost even further as the necessary infrastructure is fully in place. At the same time, our retail business remains a critical component of our strategy. Unlike other industries where the traditional business model becomes a drain of capital, our retail business continues to be more profitable than any digital business in the market, and is and should be seen as an asset for years to come. With over $600 million in annual revenue, it continues to be a significant contributor to our cash generation fueling our expansion into digital. Retail has shown resilience in spite of the challenging macro backdrop to Latin America. Many of our competitors have stepped back from this segment, we believe that this creates an even greater opportunity for Intermex to strengthen our market position in a highly profitable retail market. The broader remittance market faced headwinds in Q4 with a notable slowdown in Mexico where growth is close to zero. This slowdown has had a disproportionate impact on retail as macroeconomic factors continue to challenge the industry. However, despite these pressures, our business remains strong, driven by loyal customer segment that continue to rely on cash based transactions. Strategically, we are positioning ourselves to capitalize on the unique dynamics of both digital and retail. Our new products and services including mobile phone top-ups and enhancements to our bill payment product further reinforce our leadership in retail, while expanding our value proposition. These offerings not only enhance customer retention, but also drive incremental revenue. Our M&A activity continues to be a key pillar of our growth strategy. Since acquiring La Nacional, we have more than doubled its EBITDA, underscoring the success of our integration efforts, which remain ongoing. Additionally, we recently closed the acquisition of Amigo Paisano, a former wireless as a service partner. This acquisition enables us to leverage superior unit economics, access state of the art talent and scale our infrastructure, all of which will accelerate our digital growth. i-Transfer also progressing well with a newly focused strategy, which currently is delivering 30% plus year over year margin growth based on efficiencies delivered through the adoption of the Intermix model. At Intermex, our commitment to serving our customers with the highest standards remains unchanged. Our world-class proprietary technology, strong banking and payer relationships and best-in-class customer service are the foundation of our success. We have built a brand that people trust and that reliability is what differentiates us in the market. We are not just a retail company with a burgeoning digital segment, we're a multi-channel business with an omnichannel strategy. This enables us to service customers wherever and however they choose to send money. The value proposition of our app is now many times more economically promising than it was just a few years ago. With digital transactions now delivering a higher gross margin per transaction in retail, we are strategically positioned to grow profitably in both segments. With that, I turn the call over to Andras, who will give you the overview of our financial performance.
Andras Bende: Thanks, Bob. As already discussed, in Q4, International Money Express delivered a total revenue of $164.8 million bringing our full year revenue to $658.6 million. Digital revenue continues to stand out, growing at just under 50% in Q4 and 60% for the full year, reaching $20.6 million. We managed to grow this piece of our business efficiently with customer acquisition costs at record low levels and customer retention at record high levels. We feel we're perfectly positioned to now meaningfully scale digital, something we'll talk about more during our Investor Day this afternoon. Our adjusted EBITDA for Q4 was $30.9 million with an adjusted EBITDA margin of 18.8%, a clear reflection of being the player best positioned to capitalize on the omnichannel opportunity with an unmatched product serving Latin America. It's also worth noting that adjusted EBITDA for the quarter reflects a significant uptick in digital marketing spend, which we'll see more of as we move into 2025. Full year adjusted EBITDA came in at $121.3 million up 1.1% versus the prior year. Diluted GAAP EPS was $0.49 a share for the quarter and adjusted diluted EPS was $0.57 a share with GAAP EPS flat and adjusted EPS up just under 2%. GAAP EPS also reflects $1.7 million in transaction costs, mostly from legal and professional fees related to strategic alternatives review process. Interest expense in Q4 was down 1.3% year over year at $2.7 million bringing full year interest expense to $11.7 million. Our tax rate remains stable at 30%. Net free cash generated in Q4 was 4.6 million, mainly impacted by the 12 million acquisition of Amigo Paizano and 1.7 million in transaction costs in Q4. If you add those back, net free cash generated was up again year-over-year. Our cost line continues to depict the efficiency D&A of our company, excluding stock com restructuring and deal costs. Our underlying staff costs and G&A expenses are down year-over-year. Sales and marketing costs as a percentage of gross margin remain well below 10%, reflecting our underlying cost discipline. Through our existing 10b5-1 share repurchase program in the fourth quarter, we purchased over one million shares bringing the total repurchases for the year 2024 to almost 3.8 million shares. It's worthwhile to note that our 10b5-1 program expired at year end, so we have had a pause for about two months of share purchases in Q1, which we plan to resume shortly after earnings. Looking ahead, we remain focused on executing our strategy, generating earnings and cash and delivering shareholder value. While macroeconomic challenges persist, our omnichannel strategy positions us well for long-term success. As digital adoption continues to rise, we're making additional targeted investments to capture the shift. At the same time, we're also investing to grow in retail and maintain our stronghold as the premium brand to Latin America. Most pronounced in our 2025 guidance is the year-over-year step change in spending on digital customer capture. The guidance also reflects additional staff and marketing to support our highly profitable cash generating retail engine. Finally, as you might expect, the guidance reflects some uncertainty in the political and macro backdrop around our key Latin America corridors. For guidance, we project for the full year of 2025 full year revenue of $657.5 million to $677.5 million fully diluted GAAP EPS of $1.76 to $1.91, adjusted diluted EPS of $2.09 to $2.26, adjusted EBITDA of 113.8 million to 117.3 million. For the first quarter specifically, revenue of 145.5 million to 149.9 million. Fully diluted GAAP EPS of $0.32 to $0.34, adjusted diluted EPS of $0.40 to $0.43 and adjusted EBITDA of $23.3 million to $24 million. It's worth mentioning that this guidance does not reflect an estimate of transaction costs related to the now suspended process to review strategic alternatives. With that, I'll turn it back to Bob.
Bob Lisy : In closing, Q4 was another quarter of execution and progress. We continue to drive growth, maintain profitability, and position ourselves for the future. Our strategy remains focused on balancing retail and digital, strengthening our competitive position and unlocking long-term value for our shareholders. We appreciate your continued support and look forward to discussing our plans in greater details with you at our upcoming Investor Day. With that, we're now ready to take your questions. Thank you.
Operator: [Operator Instructions] Our first question comes from the line of Gus Gala with MCH & Company.
Gus Gala : I want to start off on Amigo Paisano. How did the opportunity come about, seems like the multiple 4x, so good multiple arbitrage there. Can you talk about their marketing load and their transaction economics versus maybe the core digital Intermex offering? And how do you think about retaining these MAUs? I mean, just looking online, it seems like the user base is much larger than your current core organic one. If you can talk through those points, Amigo Paisano would be very helpful.
Bob Lisy: Yes, good morning. Thanks for the question. So, Amigo Paisano was our very first, we'll call it loosely wireless as a service client. And so, they were really handling in the previous relationship prior to acquisition, the marketing and driving customers to the site and we were kind of handling the rest of that. And they are an affiliate of one of the big banks in Guatemala not owned directly by them, but an affiliate and they decided that they wanted to get out of the business that it wasn't the right mix for them. We thought that the ability for us to fully own the transaction, the whole transaction, increase our gross margin per transaction dramatically was worthwhile. There's part of that is defensive. Obviously, we wouldn't want someone else to buy them and potentially lose those transactions. But additionally the upside, which created a really excellent multiple, they also had, as I talked about in my remarks, a quality team as evaluated by our Chief Digital Officer, Marcello Teodoro, that's going to bring a lot of knowledge to our base of business and a lot of expertise that will give the fact that they're offshore and they're in Guatemala also do that at a very reasonable cost as we continue to build our business. So, those were all factors that were considered in our decision to do that, able to get a digital business at a multiple that's lower than where we trade a pure digital business, which seemed to us to be quite a bargain based on the multiples out there for digital in the market. I don't know, there might have been another part to your question. Is there something else that I missed?
Gus Gala: Yes. The retention of MAUs. I mean, it looks like it's a bigger base of MAUs that are coming on. Like you said, that was mostly you're bringing on the team that does that, but if you can talk through that a little bit.
Bob Lisy: Well, when you say a bigger base, I mean, it's I'm not sure what you mean by that. I mean, they have a brand, Amigo Paisano, and will over time continue to run that brand initially and figure out over time whether that becomes a bigger part of our brand, the Latin America or whatever but there really will be no we don't think there's any concern at all in retaining the customers that are there today with them. As a matter of fact, our intent would be to continue to grow that Amigo Paisano base. We think they've got an excellent business and we think we can grow.
Gus Gala: And then one more if you guys don't mind on digital and the marketing strategy. Our sense is performance marketing is kind of a newer muscle for Intermix consolidated to be flexing so hard. How are you building comfort in the ROIs, the return on ad spend? Maybe there's some kind of a dynamic here just looking at the wording of customer capture versus customer acquisition. Just help us think about that how you're building comfort in those ROIs?
Marcello Teodoro: Sure. It's Marcelo here. Let me just go back to your question about MAU. What we are seeing is that the retention is increasing since we acquire Amigo Paisano as we start to co-brand their material with Amigo Paisano brand plus Intermex brand. So while their brand is strong against Guatemala Tacos and some of the Mexican users, we see already that when we add the Intermex brand on the side of that, the recognition of the brand is even higher. Going back to your question about marketing, since we start to invest a little bit more in digital market, we've been seeing the cost of a position is stable or going lower in some situations. So I believe we learn a lot last year regarding how to do that. First, we learned how to do by using external agencies, and now we are leveraging these resources that Bob mentioned that we brought in since we acquired Amigo Paisano and they were doing a very good job. So we see lower costs than we see a trend to remain at ease or even get lower as we start to invest more and diversify the investment across other type of marketing assets.
Chris Hunt : And Gus, this is Chris Hunt. I think one of the things that we're doing exceptionally well. Right now is large data capture on the information coming back from marketing. So we're able to see by channel, by dollar amount spent and really maximizing channel really even on a daily basis or hourly if needed, but really moving that spend to where we're going to reduce our customer acquisition in the long term.
Operator: And our next question comes from the line of David Scharf with Citizens.
David Scharf : Maybe just kind of taking a step back, a 30,000 foot view question, as we think about the 2025 outlook and roughly flat top line guidance. Just to maybe provide context for investors, could you rank the factors in terms of sort of how important they are as drivers of this guidance? A, I guess, a macro, which you highlighted we've been seeing the weakness in U.S. to Mexico, B, secular/competition maybe competitive pressures from other digital players and three, if there's anything company specific that you would want to call out, but maybe just to kind of rank those three drivers in terms of giving us a sense for ultimately kind of how you view the landscape this year.
Bob Lisy : Yes, sure. I think there are co-leaders, and the co-leaders would be two things. One is, is that we have a difficult macro environment right now to Mexico. Not the first time I've been around the industry now around 30 years, and we've seen many ups and downs. The last time we really saw a slow down has been many years. We've had consistent growth for years now. It does happen, and we think that it's hard to predict today what the market will look like precisely in 2025. We're doing our best related to the slowness we saw particularly late in ‘24, and then also some of the pressures that are on immigration at this time and just what effects those will have. We don't think those are going to be dramatic, but we think they will be cutting away at the edges a bit and so we've been conservative in considering how we think about the overall market growth to Mexico and even some of our other key countries. As Guatemala is by far our number two most important in terms of revenue production and gross margin production. The second part of that is that whereas we still think in many countries like for instance Guatemala we think the digital business is less than 15%, but in Mexico we think it's probably more than 30%. So, as you see that piece of the business, the digital component grow and be growing and taking up most of the growth that's there in the market, we're left with a number at retail, a macro number at retail that we think is a negative growth number, significantly negative. And so, when you're competing in 90% plus of your business today, our business is at retail, it's competing in a sector that right now is not going away, still highly profitable. It's going to be the part that produces our $65 million or $70 million of free cash this year, but is contracting. It's exacerbated that movement to digital because of the slow growth in in the market overall. So, that is why now we believe with our improved app, with our improved economics and with the investment we're ready to make that the time is now for us to be more aggressive related to our digital side of the house. By the same token, we also believe that we can do better on the retail side. To deal with the last when you talk about things going on in the company, I still believe that we are have the best offering at retail. I still believe we have the best sales approach at retail, but we need to be better. We can get better and we will get better at that. There are refinements that we're working and making today because we think that where even in Mexico where the business is probably still about 70% retail or in places like Guatemala where it might be 80% or more retail, there's a lot of revenue, a lot of EBITDA and a lot of free cash and earnings per share to be derived from retail business for many years to come, and we need to continue to do that. What's really important for everybody to remember about Intermex today is you've got a business that absolutely has expertise in the marketplace to Latin America. No one's ever grown or grabbed share any faster than we have there, particularly at retail. Now you couple that with a company that's well armed with high profitability, like making a lot of money and throwing off a lot of cash and understanding their consumer intricately well and their consumer that mostly today is still sending wires in what is our wheelhouse. The only last thing we need to do is fortify our digital business and we think we're absolutely on track to do that and we think that all we need is the time to execute that and we will be a much better, much more profitable even than today company in the coming years.
David Scharf: And maybe just as a follow-up, I guess, for Andras, I know you're going to cover later today more broadly the digital initiatives. But regarding the commentary that 2025 guidance reflects enhanced investment in the channel, which I assume is equally customer acquisition, service and tech. Can you provide a little bit of help for us to understand maybe on a dollar basis year over year, how much increase is behind digital? And maybe not just for 2025, but I think a broader question is for the foreseeable future, how we ought to think about the investment profile of the business as it has to scale that channel?
Andras Bende: Yes, let me just address 2025 for the moment. We can talk a little bit more broadly about the out years of the Investor Day later today. We'll move from a digital marketing spend in ‘25 of around a million up to 9 million in 2025 and we're going to do that very efficiently. I think in addition, we are also going to four to five retail. We've got another about 3 million to 3.5 million in spend in both staffing and retail marketing to entrench our position in what's a really, as Bob mentioned, profitable and highly cash generated business, which is going to keep help, which is going to keep helping us fund the digital growth into the future, so that that's what's baked into 2025.
Operator: Our next question comes from the line of Mike Grondahl with Northland.
Mike Grondahl : I think we've talked about digital a fair bit, so I won't hit that one. But in terms of immigration and kind of policy changes there, how do you want investors to think about that? I've always thought that jobs in the economy were the overriding factor, but with the change in immigration and potentially people headed back to Latin America, how should investors think about it?
Bob Lisy : Yes, I think Mike, it's a matter of magnitude that none of us can really predict at this time, but we've seen, I could play back and we talk about administrations, two administrations ago, or three administrations ago, remarks that President Obama made about, if you're here in the country illegally, you need to go back and you need not be here and so, we've had flurries and spikes that have happened, and I understand the magnitude, the perception today is that it is bigger and stronger than ever. I'd go back and I'd say a couple things. One is the last time we had this same administration, and maybe this incarnation is different, we had the best years of growth to Latin America that we've had in the last 15 years. The economy from my perspective, the strong dollar related to the peso and the strong housing market through most of that time led there to be really a great job market for folks coming here, both documented and undocumented. We feel like that today there's a lot more bluster right, than there's ever been but we also do believe that, as I've heard it described, there are three levels of looking towards removing immigrants. The first one would be those that are criminal, that's not our customer. The second would be those that are taking advantage of the social services. It's not our customer. And the very last, which is the really, the bulk of millions of people are people that are working in agriculture and in service industries and construction and I think it's going to be a long time, if ever, if we get to that, the tactical nature of that task is enormous. There's not, as you well know, agreement, certainly not in the biggest state for foreign-born Latins in California is not really necessarily a place that would support that. I don't buy that any of our consumers are going to pick up and go back because of the threat. I think they're going to -- somebody's threatened to send you back, so you just go back before, you're going to try to make as much money as long and as much as you can. So we're certainly watching carefully and we know there'll be an effect, but we don't think this spells out any huge impact, let alone disaster related to the industry.
Mike Grondahl: For Andras, you bought back 1 million shares in the fourth quarter, I think 3.8 million in all of 2024. You're generating a nice level of cash. You have $130 million of cash on the balance sheet. How do you want people to think about your appetite for share repurchase in ‘25?
Andras Bende: Yes. I think right now what we've baked in is a purchase of about $40 million notional in the year, and we can get more aggressive if it makes sense from where we're trading at perspective but right now I think $40 million is a good set of goalposts to put up.
Bob Lisy: Or opportunistic stuff that might come along too.
Andras Bende: Yes. Obviously, if there's block trades or other things that are going to be good for the shareholder. But we've got a baseline $40 million into what we plan to do.
Operator: Thank you. And our next question comes from the line of Chris Zhang with UBS.
Chris Zhang: So, my first question is about digital customer acquisition economics. And our understanding has been that you started leaning more into digital customer acquisition in the fourth quarter and maybe can you just talk about some of the early learnings in terms of the competitive environment, the customer acquisition cost and the unit economics just from some of the earlier signs, of, for example, cohort behavior like the retention and the repeat customers? And then I have a follow-up.
Marcello Teodoro: It's Marcello here. Looking from a macro perspective, we see that all our players are investing, which can impact the cost of acquisition in the long term. But at the same time, the size of the digital target consumer is also increasing. So, we have more people to reach out than we would have one or two years ago. The second piece is we've been performing very well. Our cost acquisition as I mentioned before remains stable with some lower points throughout the quarter, which is good news. As I mentioned we have learned a lot how to do that and we keep learning how we do it. The fact that we have a profitable business and that's the cost per transaction the revenue per transaction remains high is also good news because feedback they intend and allow us to keep investing, which Andras mentioned before. Both retention and loyalty of those consumers remain the same and I would say at high level versus the industry. So, we have something like 12 to 13 wires per year sent by consumers and when you think about that versus clients that are active and clients that are not active anymore, it makes us believe that we have 100% wallet share when you think about those consumers. What I mean by that is that if a consumer is using Intermex, he's sending all the wires via Intermex, that's good news. So, as we keep increasing our investments and at the same time we keep increasing the retention rate, this business needs to seems to grow exponentially in 2025.
Chris Zhang: My second question is about the other income portion of the revenue. There's been a meaningful pickup this quarter. I just wondered if there was any driver in terms of the new solutions or services you're rolling out or if there's some other factors there.
Andras Bende: Yes. No, I think -- this is Andras. I think in the fourth quarter we did a deep look at all sorts of revenue opportunities and also some of our operations, how we execute on some of our fees and we did find an opportunity in terms of how we apply fees to uncollected money orders and uncollected wires and it was an easy adjustment when we saw what others in the market were doing and it's something that helped us in the fourth quarter and will help us next year as well.
Operator: We have a follow up from Gus Gala with MCH & Company.
Gus Gala : Wanted to ask about the headcount additions in retail a little bit more. So, last year I think we added, I think it was like six heads in outbound, 20 something in inbound and I think those were more slated towards driving greater productivity at agents. This year, it sounds like you're adding more headcount on the sales side as well and some retail marketing. Can you talk about is there any change to the attack? Are we targeting more new agents or are we trying to drive productivity at existing agents with this additional headcount? Anything else on how we're attacking retail opportunities shifts there would be helpful. Thanks.
Bob Lisy: Yes, well it is both, the business is driven and our ultimately final number driven by three components, which would be same store growth, our new agent growth, which would be a cohort group, all agents that are less than 12 months old that don't have previous history, they're lapping. And then the churn, which is usually a small number, which is the agents that you lose going out of business close for whatever reason. There's a huge opportunity for us still in the Western states. We've been chipping away at that, but we need and could benefit from, so for instance, in certain states out west we might have one retailer for every 2,500 or 3,000 or even 4,000 foreign born potential customers, where when we look at our best, most well-penetrated states where we have the biggest market shares and perform the best in the east, we might have an agent, one retail agent for under a 1,000 potential customers. So we have this huge opportunity to add hundreds of retailers. One of the things that if I would, go back in time, which unfortunately we don't, we none of us can do that, is we would've not only did a few things differently. Maybe even on the digital side, not sure that it would be as much there as it would be at retail. We should have invested, we didn't grow our retail sales force. We were driving towards better and we've more than tripled our EBITDA since we've been public in just a matter of seven years. But we should have and could have invested more in retail because we still have an underpenetrated western set of states. We're doing better and we have done better and we continue to be a higher level of market penetration agents per perform bonds over the years. We are going to benefit by adding a lot more. So we put a lot more people concentrated in states that need more agent retailers, which will then drive more transactions, but particularly the right retailers in the right spots, in the right geographies and the right zip codes. That's not to say just Texas and California by the way, states like Arizona, states like Colorado, states like Nevada, these are all still well underrepresented related to our market penetration of retailers and then ultimately business versus where we've had a really strong market share in the Southeast, for instance. So that will be the focus of that. I think we'll continue to also add agent retailers. There still are spots and opportunities in the East, but it's also there, there will be an opportunity for us to maximize our performance in retailers in more penetrated areas where we have a retailer, but we might not drive the yeoman share of the transactions in that individual retailer. As you know, we're usually in competition in an individual retailer with two or three other competitors. And in some cases, we could be the lead and be most of the wires. In other cases, we could be a second or third. In the East where we have a lot of retailers, one of the things we're working through along with activating new retailers is to find those opportunities where we are the second or third choice and modify our offering to the retailer in a way that makes sense economically to drive greater transaction volume and we think there's a lot of opportunity to be mined, particularly in the East related to that.
Operator: Thank you. And I'm showing no further questions. So, with that, I'll hand the call back over to President and CEO, Robert Lisy for any closing remarks.
Bob Lisy: Thank you all for joining us this morning. We're looking forward to talking further this afternoon to those of you that can join us and digging deeper into what we think is a great company on the threshold of really transitioning into great things with a really strong foundation from which to build. So, we're looking forward to talking to you all about all of that this afternoon. Until then, we wish you a great day. Thank you.
Operator: Ladies and gentlemen, thank you for participating. This does conclude today's program and you may now disconnect.